Operator: Thank you for standing by. My name is Kate and I will your conference operator today. At this time, I would like to welcome everyone to the Q4 2024 Hecla Mining Company Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Anvita Patel, VP, Investor Relations and Treasurer. Please go ahead.
Anvita Patil: Good morning, Kate and thank you all for joining us for Hecla's fourth quarter 2024 results conference call. I'm Anvita Patil, Vice President of Investor Relations and Treasurer and our earnings release that was issued yesterday, along with today's presentation, are available on our website. On this call today we have Rob Krcmarov, President and Chief Executive Officer; Russell Lawlar, Senior Vice President and Chief Financial Officer; Carlos Aguiar, Senior Vice President and Chief Operating Officer; and Kurt Allen, Vice President of Exploration; and Matt Blattman, Vice President of Technical Services. At the conclusion of our prepared remarks, we will all be available to answer questions. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and involve risks as shown on Slide 2 in our earnings release and in our 10-K and 10-Q filings with the SEC. These and other risks could cause results to differ from those projected in the forward-looking statements. Non-GAAP measures cited in this call and related slides are reconciled in the slides or the news release. I want to remind you, if you would like to have a call with management, you can do so by using the link under the section Virtual Investor Event in our earnings release that was issued yesterday. I'll now pass the call to Rob.
Rob Krcmarov: Thank you, Anvita and good morning everyone. When I joined Heckler about three months ago, I began an intensive review of our operations and strategy. I've now visited all but one of our mines. Actually a winter storm delayed my trip to Keno Hill which I'll visit in the next couple of weeks. And throughout these visits and my extensive engagement with employees and stakeholders, I've developed a clearer vision for Hecla's future and some of the opportunities that are available to us. I guess what initially drew me to Hecla was its extraordinary legacy, 134 years as a leader in the silver industry with high quality long life mines in Premier jurisdictions. Now, having seen our operations firsthand, I'm even more convinced of the company's potential. Our high quality long life mines in Premier jurisdictions provide an exceptional foundation and I have to say the caliber of our management team has really impressed me. Our operating portfolio stands on three key pillars. Our cornerstone operations Greens Creek and Lucky Friday continue to deliver strong performance and robust cash flow. Keno Hills represents our primary growth opportunity, although it's a ramp up has been more challenging than I had initially thought. However, we have a clear strategy for achieving sustained profit action there, but it will require time and strategic investment. At Casa Berardi, we've recognized that the mine hasn't yet realized the potential envisaged during its acquisition. So, while it has future potential, its capital requirements and management bandwidth consumption have really led me to direct our team to evaluate all strategic alternatives to maximize shareholder value from this asset. Looking ahead, focusing on four key strategic pillars and they're all underpinned by our commitment to ESG leadership. First, we're committed to achieving operational excellence through relentless improvement through implementing standard operating systems across all of the sites, investing in automation and advanced analytics, driving continuous improvement in cost control, and building real-time decision making capabilities. Second, we're optimizing our portfolio to maximize value. We've begun this with our strategic review of Casa Berardi and we're evaluating extensive [ph] portfolio of exploration assets and investments to unlock value. So, while organic growth at Keno Hill remains our primary focus, we're developing a strategic and disciplined M&A framework that leverages our core competencies to create substantial value. Third, we're intensifying our focus on financial discipline and shareholder returns. We're implementing a rigorous capital allocation framework centered on free cash flow generation and return on investment metrics with clear hurdle rates. This disciplined approach should strengthen our balance sheet and build financial flexibility and deliver consistent returns to our shareholders. Fourth, our strategic focus on silver production in the U. S. and Canada continues to deliver exceptional value. With the largest silver reserve base in North America and operations concentrated in Tier 1 jurisdictions, we're strongly positioned to meet growing demand from green technology and renewable energy sectors. Our expanding footprint in these stable regions, combined with our industry leading cost structure, gives Hecla unmatched advantages and capturing new opportunities. And while providing investors unparalleled security of assets, I think this distinctive market position really sets Hecla apart and warrants a premium valuation, particularly in today's complex and dynamic global environment. Of course, -- these pillars is our unwavering commitment to ESG leadership in the mining industry and our success depends on responsible environmental stewardship, strong community partnerships, and deepening relationships with First Nations and in fact all stakeholders. So, let me highlight our achievements in 2024 which is detailed on Slide 4. We delivered strong operational performance meeting our consolidated silver production and cost guidance, while exceeding our gold production targets. Our strategic exploration program successfully maintained our silver reserve position, the second highest in the company's history with particularly strong results at Keno Hill where reserves increased by 17%. We achieved record revenues in 2024 driven by higher metal prices and solid contributions from all four operating mines. Most notably, our cornerstone assets Greens Creek and Lucky Friday generated $228 million in free cash flow. And I think this robust performance enabled us to advance strategic investments in Keno Hills development, while implementing targeted improvements at Casa Berardi and Russell will walk through the financial details in a moment. We've also evolved our approach to shareholder returns. After careful consideration, we're maintaining our base annual dividend of $0.015, while supporting key priorities and that's investing in organic growth, strengthening our balance sheet, and delivering reliable and sustainable shareholder returns. I'll now hand the call over to Russell for a detailed financial review.
Russell Lawlar: Thank you, Rob. I'll start on Slide 6. Our 2024 strategy delivered on three key objectives; strengthening our balance sheet, reducing leverage, and growing production. We achieved these goals despite operational challenges, which Carlos will detail later. Looking ahead to 2025, we're taking decisive steps to enhance our financial flexibility. The key strategic decision was the elimination of our silver-linked dividend. While this wasn't an easy choice, we believe reinvesting in our organic growth opportunities will create substantially more shareholder value than dividend distributions. These freed-up cash flows will also accelerate our deleveraging initiatives. The strength of our core assets is evident in the $228 million of free cash flow generated by Greens Creek and Lucky Friday during the year. This performance continues their remarkable track record having delivered over $800 million free cash flows in-- This robust cash generation and associated EBITDA enabled us to significantly improve our net leverage ratio from 2.7 times to 1.6 times, while simultaneously investing $215 million of capital across our portfolio. Turning to Slide 7. As Rob mentioned, we achieved record revenues of over $900 million during the year with 44% of that revenue coming from silver, 34% from gold, and the remaining from base metals. Additionally, we received a small amount of revenue from copper during the year, the first time Hecla has received revenue from copper in decades. We also saw our realized price of silver appreciate nearly 23%, while our outstanding cost per ounce only increased 11%, helping our margin per silver ounce to have expanded from 50% in 2023 to 54% in 2024. This additional silver margin and higher revenue generated record adjusted EBITDA, which continued to improve our net leverage ratio. As noted on this slide, we've made significant progress on strengthening our balance sheet and deleveraging the company. However, when we're not satisfied with the progress made, over time, we expect to delever fully from the revolver, while also adding cash to our balance sheet with the intention of bringing our net leverage ratio to 1.6 [ph] times. And over a longer horizon, we expect to continue to reduce our debt on a growth basis to further free-up cash flows to invest in organic growth within our operating portfolio. With our strong asset base and the growing silver demand, I'm confident that 2025 will prove to be another successful year in our strategy of strengthening our balance sheet, investing in our assets and generating free cash flow. I'll now pass the call to Kurt.
Kurt Allen: Thank you, Russell. On Slide 9, Greens Creek is cornerstone mine foundation of our future. Greens Creek provides the stability and consistency in our cash flows and production. The mine produced 1.9 million ounces of silver in the fourth quarter and 8.5 million ounces of silver for the year. Fourth quarter production was impacted by equipment issues and limited access to high-grade areas, But improvements in equipment and backfill rates in fourth quarter are expected to improve silver grades in early 2025. The mine operates across six zones and 45 areas yielding five payable metals and maintaining consistent annual silver production of 8 million to 9 million ounces. For 2025, production is projected to be between 8.1 million and 8.8 million ounces, driven by planned mine sequencing with lower precious metal grades and higher zinc content. Cost per ounce is expected to increase as it is impacted by higher labor costs, which is a trend we are seeing across all our operations and industry-wide. In higher power costs as the hydropower utility that provides power to the mine undergoes maintenance and lowers snowpack and precipitation levels, providing the use of diesel power for tons. We are also increasing the capital guidance as we commence engineering and construction for the next dry stack tails expansion to extend capacity through 2040. Our exploration program has sustaining the mine's 12-year reserve life. The mine generated $147 million in free cash flow in 2024, contributing to its impressive $2 million [ph] in free cash flow since production began in 1986. With over 30 years of operational success and substantial reserves ahead, the future of Greens Creek looks strong for continued growth. Moving to Slide 10, Lucky Friday had a record-breaking operational year in 2024 with the highest ton mined and mill, the most zinc produced in its 80-year history, and the highest silver and lead production since February. Notably, these achievements were made while maintaining the best safety all injury frequency rate of 1.4 for a full production year. The mine produced 4.9 million ounces of silver in 2024 with four quarters delivering strong results of 1.3 million ounces of silver produced at 1,180 tons per day due to favorable mining sequence in higher grades. The all-in sustaining cost for the year was $16.50 per ounce, higher than guidance due to increased labor costs and contractor use. However, contractor costs are expected to decrease in 2025 as positions continue to be filled. Free cash flow generation in 2024 was $82 million including $50 million from insurance receipts. As we look to 2025, we expect the mine to produce 4.7 million to 5.1 million ounces of silver, with all-in sustaining costs similar to 2024. The company is increasing planned capital investment to enhance the mine surface cooling infrastructure, a key project to support consistent throughput as mining advanced deeper into the ore body over our 17-year reserve life and to help with the mine's zero discharge goal. The mine's record setting performance after the 2023 secondary escape way fire highlights the strong management team and their ability to navigate challenges. As our second cornerstone operation, the mine is well-positioned for another solid year in 2025. With robust fresh cash flow, stable production, and ongoing improvements, this strategy combined with smart capital investment and a favorable geology positions the mine for long-term success. Turning to Slide 11, Keno Hill met its 2024 production guidance, producing 2.8 million ounces of silver, despite facing operational and social challenges. In fourth quarter, mill truck averaged 250 short tons per day, but production was impacted by a 25-day mill shutdown related to the dry stack tailings facility permitting and 10 days of power curtailments from DuPont Energy Corporation. Power constraints are expected to continue into first quarter and resolve [ph] mid-2025 when repairs to the hydroelectric turbine are scheduled for completion. We have developed a clear 2-phase strategy to achieve sustaining profitable production at Keno Hill. The Phase 1 focuses on reaching and maintaining 440 short tons per day throughput by advancing critical infrastructure projects, including the cemented tailings backfill plant, water treatment facilities, dry stack tails, and mine development. Despite permanent delays, these investments are key to future production growth. The Phase 2 targets increasing the throughput to approximately 600 short tons per day, which is crucial for profitability at this remote operation due to the mine's high fixed cost. This phase requires additional infrastructure investment and new permits. Beyond technical execution, our success depends on continuing to strengthen our partnership with First Nations and the Yukon government as a responsible long-term partner. We are encouraged by the Yukon Premier's commitment to create efficiencies in the permitting process and support established mining partners. We are seeing positive momentum in our partnership with Yukon government. The Premier has demonstrated strong support through working on allocating resources to address power infrastructure needs, working on developing a charter with major mines department, collaborative approach to operational solutions. While challenge remains, including permitting for the Phase 2 expansion, positive momentum is building. For 2025, Keno Hills expects silver production of 2.7 million to 3.1 million ounces and quarterly production costs of 15 million to 17 million. Production route is anticipated in 2026 as we approach Phase 1 target of 440 tons per day. A significant milestone in 2024 was an increase of 17% in reserves to 65 million ounces, highlighting the district's exceptional potential. Kurt will elaborate on this exploration reserve shortly. While we face short-term challenges, our systematic approach to infrastructure development, own stakeholder relationships, and growing resource base are building a solid foundation for Keno Hills' long-term success. Turning to slide 12, Casa Berardi produced 87,000 ounces in 2024 at an all-in sustaining cost of $1,990 per ounce. By mid-2025, the mine will complete the transition to a surface-only operation focused on the 160-pit, which is expected to improve economics and generate stronger free cash flow as the strip ratio decreases. Looking ahead, Casa Berardi's current production plan extends through 2027, followed by a planned five-year development period, focusing on permitting, infrastructure, dewatering, and pre-stripping to develop two new open pits, the Principal and the West Mine Crown Pillar. While these future pits have significant free cash flow potential, the extended production gap has prompted the company to evaluate strategic alternatives for the asset as announced previously in November. The review process is ongoing and an update will be -- this year. I will hand the call over to Kurt to discuss our exploration results.
Kurt Allen: Thank you, Carlos. As you can see on Slide 13, since 2018, we have produced 99 million silver ounces and increased our silver reserves by 49 million ounces to 240 million, the second highest silver reserve in our 134-year history. As we mine more ounces every year, we are able to pull the silver reserve base through focused drilling. During the year, Keno Hill increased reserves by 17%, Greens Creek nearly replaced mining depletion, and Casa Berardi replaced production plus a small increase. Moving to Slide 14, our exploration efforts at Keno Hill continue to demonstrate significant potential through both underground and surface drilling campaigns. At the Birmingham Deep target, we intercepted the widest silver bearing zone to-date below the Northeast ore zone. Evidence suggests proximity to a newly identified ore chute where the structure appears to be controlled by an interpreted vein intersection. I'm really quite excited by these results. At the Inca Vein, we delineated over 800 feet of mineralized strike length. Outstanding drill hole intercept results include 26.1 ounce per ton silver, 20.9% zinc, and significant indium credits, all for an impressive 14.3-feet width. These results further validate our exploration model and continue to demonstrate the district's exceptional mineral potential. Slide 15 presents compelling evidence of our latest discovery at depth in the Birmingham system. The slide shows two key views, a cross section of the [Indiscernible] Vein system and a longitudinal section of the Footwall Vein. Both sections are contoured to show silver grade times thickness values, highlighting the robust nature of the mineralization. At the Birmingham Footwall Vein, we've identified a significant new mineralized chute that extends down plunge from high-grade zones in the upper part of the vein, runs parallel to the Arctic Fault, and dramatically exceeds previous expectations for the area. Intercepts received during the quarter show significant silver grades and widths in areas that were previously -- as containing lower-grade stringer mineralization and include up to 53.8 ounce per ton silver over 15.3-feet. Our latest drill hole located 140-feet further to depth and a long plunge intercepted a wide zone of stringer mineralization over 55-feet that contains two strong veins with galena, sphalerite, and variable amounts of tetrahedrite. While assays are pending for our latest intercept, the observed mineralization suggests further extension of the high-grade chute at depth, the structure remains open for expansion, and significant potential for resource growth. These results continue to enhance our geologic understanding of the district and reinforce our confidence in its substantial mineral potential. Each new intercept not only adds to our resource base, but also improves our structural interpretation of this incredibly well-endowed district. And with that, I will pass the call back to Rob.
Rob Krcmarov: Thanks Kurt. As we look ahead to 2025 and our guidance on Slide 16, we anticipate our silver production profile to remain generally consistent with 2024 with production of 15.5 million to 17 million ounces, while gold production is anticipated to decrease as Casa Berardi transitions to only open pit mining. We anticipate a modest increase in consolidated cost per ounce, driven by higher labor costs both at Lucky Friday and Greens Creek and power generation costs for a couple of months. Finally, our capital investments position us to maintain stable production at our core assets, while advancing our growth initiatives. Our capital spend should slightly increase compared to 2024 and that's largely to sustain our production profile at Greens Creek and Lucky Friday, while at Keno Hills and Casa Berardi, our investments are anticipated to bring future growth in production and flows. So, with that Kate, I'd like to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Nick Giles with B. Riley Securities. Please go ahead.
Nick Giles: Thank you, operator and good morning everyone. Guys, congratulations on the nice progress here in Q4. My first question was at Casa. Obviously, we're looking towards lower strip ratios and some stronger free cash flow in the second half. But I was wondering if you could outline the strategic review process? And is there a targeted timeline in place? Would you look to an outright sale versus a stake sale? What are their considerations? Thank you very much.
Rob Krcmarov: Well, thanks for your question, Nick. We're looking at all options and that does include a potential divestment in whatever shape or form. We're also looking at -- really looking at improving our operating plans. As you're aware, right now we're anticipating about a five-year hiatus between the completion of production from the F160 Pit and the commencement of production at the Principal pit. That is a long lead-time and we don't really know what the gold prices are going to look like in five years out. But at current gold prices, the Principal pit actually produces some very, very healthy cash flows. So, it's really a trade-off between bringing value forwards through a potential divestment or waiting it out, improving our operating plans and looking at harvesting cash flows a little bit further down the road. I expect we'll have a better, more coherent view in the second quarter.
Nick Giles: Robert, I appreciate all that color. My next question was just the net leverage ratio has declined pretty dramatically, on the back of some stronger earnings and I think I heard you reference a new target, but I just didn't quite catch it. So, assuming metal prices continue to be robust and you're able to pay on the revolver. How should we think about the chances of increased capital returns versus maybe building some additional dry powder for some of the organic growth opportunities you mentioned?
Russell Lawlar: Yes. Good morning, Nick. So, this is Russell. As it relates to the new target, what we've said in the past is that we have a ceiling essentially 2 times the net leverage ratio. We've reached that ceiling. We've been able to bring ourselves back in line where we're below that now, which we've made significant progress on that deleveraging. We've always wanted to be under kind of a target of less than 1 time. So, I don't think there's anything new there necessarily. Think we're just approaching our target. As it relates to cash generation, you know, clearly, getting off of the revolver, building some cash on the balance sheet will be, one of our strategic priorities. But we also need to continue to invest in our business, both the capital and you see that in the guidance, that we put out yesterday as well as the exploration because that is the future of our company. So, there's a bit of a balancing act between paying off the revolver, building cash, and what as well as investing in our business. But I would suggest we would build up a cash balance, while we're making those investments. And you saw us, we removed that Silver Lake dividend because we do think that, we have better opportunities internally than with the cash that we generate than we would any.
Nick Giles: Russell, thank you so much for all that detail. One more if I could. What's the timeline for the maintenance of the hydropower utility? How much did this change your cost guidance?
Russell Lawlar: In general, in terms of timing, it will be sometime middle of this year. But we also see currently, we actually are generated power at Greens Creek earlier this year and even currently now. So, as a total, it's increased our cost about $5 million from an as-produce basis, just to give you kind of a sense of scale.
Nick Giles: Got it. Got it. Well, Russell, Rob, and the entire team, continued best of luck.
Russell Lawlar: Thank you.
Operator: Your next question comes from the line of Joseph Reagor with ROTH Capital Partners. Please go ahead.
Joseph Reagor: Hey guys, thanks for taking the questions and it's a breath of fresh air to hear words like return on capital investment instead of growth. So, on that note, the talk around Casa, is there an outcome that you would prefer? You're talking about possibilities, but is there a preferred outcome? Is an outright sale more favored because it's helped you delever the balance sheet? Or is it something where if you were to sell it that kind of hurts production in the future, so you prefer to keep it?
Rob Krcmarov: If we were presented with a compelling offer for an outright sale, we would use the proceeds to continue to delever that is important to us. The forecasting future cash flows as I said that's potentially more than five or seven years out. And while that's attractive right now, we'd be gambling on what the gold price would look like out then.
Joseph Reagor: Yes, fair enough. And on that five-year gap, I think it used to be more like a three-year gap. Is that just permitting, that's pushed it back another two?
Russell Lawlar: Correct. Yes. Yes, it's permitting. Permitting has been more challenging than our previous assumptions. And we are planning to go back on track, but that's the main reason, is the permitting.
Joseph Reagor: Okay, fair enough. And then, over on Keno, with the power challenges to start the year, and I know, Rob, you haven't been there yet, but it's on the to do list. Any thoughts about what needs to change there to get the asset to be cash flow positive? Like are there any really big things you've already identified?
Rob Krcmarov: Yes. So, the main thing is to continue our investments in the infrastructure. Right now we have a permit limit that capped at 440 tons per day, but that's not really the endgame. We need to get to 600 tons per day, which -- and that's largely because of the high fixed cost that Carlos was talking about. It's a remote location, the costs are higher than we anticipated, so really the ultimate goal is 600 tons per day, but to get to there, we need to make the additional infrastructure investments, so that's in the mill, water treatment plant, tailings power, camp space all that sort of stuff and they all rely on new permits and so permitting has been a bit of a constraint but we do see a pathway to getting to 600 tons per day.
Joseph Reagor: Okay. And have you guys kind of run an internal trade-off of potentially shutting it down temporarily until you get those permits versus continuing to operate it?
Rob Krcmarov: Yes. We, -- I mean we're always evaluating our investments and if it makes sense to put it on care and maintenance and pick up the ball on another day, we'll certainly consider that. But right now we've been encouraged by some of the discussions we've had with the Yukon government and again, if we expect to see continued delaying permitting, we'll reevaluate our position.
Joseph Reagor: Okay. Thanks. I'll turn it over.
Rob Krcmarov: But I have to say. Yes, I have been encouraged by some of the discussions with the head and the reengagements with the head with the Yukon government not just the Premier, but the Mining Minister Yukon Power. They all understand that we cannot be waiting indefinitely for permits.
Joseph Reagor: Okay. Thank you.
Rob Krcmarov: Thanks Joseph.
Operator: Your next question comes from the line of Kevin O'Halloran with BMO Capital Markets. Please go ahead.
Kevin O'Halloran: Hey, Rob and team. Thanks for taking my questions. Maybe just picking up at Keno, kind of similar to the last one, but on the permits, what's right now your expected timing of receiving those permits? And then, maybe once you do have those permits, what is the timing to get those infrastructure items built like the water treatment and the backfill facilities?
Rob Krcmarov: Let me just start out by talking about the permits and then I'll defer to Carlos about the infrastructure. So, I'm going to back up a bit here Kevin. We've made progress on the permitting, but the challenges do remain. We met with the Premier and his team in January and the Yukon government has acknowledged the need to keep the permitting on track and have responsible companies like Heckler. You know he understands that we've been in business for 134 years and he understands that we've got a fantastic environmental record over at Greens Creek and that we have the social license to be serious producers in the Yukon. And so that commitment's been demonstrated through several key initiatives. And so he's undertaken that we'll develop a charter with a major mines department. There'll be an allocation of resources to address those power infrastructure needs. And really he instructed his department to have a more collaborative approach to finding some operational solutions and really try and create efficiencies in the permitting process for established operators. Now, obviously things had paused last year because of the heap leach failure at the Eagle Gold Mine, which we obviously don't own. And so while we're encouraged by this positive momentum in the partnership with the Yukon government, we're going to continue to engage with the First Nations. And so permitting still remains a significant risk in getting to 600 tons per day that I spoke about and which is the critical threshold to get into profitable production. But with the Premier's demonstrated support and his encouraging words and the actions that he will be about to take, we believe that we should be making some steady progress towards our goals this year.
Carlos Aguiar: So, related with projects, we are prioritizing the execution of projects in the next two years which is, which are going to improve and sustain the Phase 1, which is the 440 tons per day. After that, of course, we are going to reevaluate, which is probably going to take another two years to go up to the 600 tons per day mark.
Kevin O'Halloran: Okay. Thanks. Appreciate the color there. And maybe just on the costs at Keno, can you give us a sense of the proportion of fixed costs? Like of the costs you reported this quarter? What percentage, roughly speaking, do you consider fixed versus variable?
Matt Blattman: Yes. To give a specific percentage, it would be a challenging thing. But they are primarily fixed because if you think about the site itself, whether it being a remote operation, you've got a charter, you've got a camp, you've got people rotating in and out, those types of things and as a result, you will see higher fixed costs because of those -- and as Rob had mentioned, the way for us to overcome those will be higher throughput.
Kevin O'Halloran: Okay. That makes sense. And then final one for me on the Lucky Friday CapEx. About how much of that is being allocated to the cooling project? Is that all the growth CapEx? And then maybe as a follow-on, how much of that is the mine development, just in terms of trying to get a sense of kind of what the normalized capital spend would be on future years?
Russell Lawlar: So, the mine development of the Lucky Fire is close to $20, million and the surface cooling system is like $13, million for the next year. So, once we complete this project in the next coming years, it's going to be a reduction in the capital for Lucky Friday.
Kevin O'Halloran: Okay, sounds good. Thanks for taking my questions. I'll pass it on to the next caller.
Rob Krcmarov: Thank you, Kevin.
Operator: Your next question comes from the line of Heiko Ihle with H. C. Wainwright. Please go ahead.
Heiko Ihle: Hey, Rob and team, thanks for taking my questions. Lucky Friday seems to be running pretty well on all cylinders here. But I mean, ignoring the numbers for a second, can you maybe provide a bit of color on what changes you expect to have at site in this quarter and beyond that could further improve efficiencies and production? And maybe you need quantify how much you expect those individual factors to impact your production? I mean, we're essentially halfway through Q1 at this point.
Russell Lawlar: So, Heiko, it's a we're having a hard time hearing you on this end. But I think let me restate your question. You can tell me if I've got it right. Lucky Friday, you're right. Lucky Friday had a very good 2024 especially coming out of the fire we had. And we've mentioned on the call here that Richmond Group, I'll highlight as a very good qualified group. So, we do expect Lucky Friday to continue to be successful out in the future kind of a base and consistency out into the future. I guess, where I'm a little bit I was struggling to pick up what your question was as it relates to, what do we expect kind of in the near-term like you said?
Heiko Ihle: Modify some of the efficiencies and production changes that we should expect to see in Q1 and maybe even beyond if you can. In other words, what is getting done and what has been getting done in the last six weeks since the beginning of the year that may have not been impacted in the Q4 numbers?
Matt Blattman: Hi, Heiko. This is Matt Blattman. That's going to be a challenging one. As you know, as we go deeper and farther and farther away from our primary access, it's going to be harder and harder to find efficiencies and improve costs. It's not to say they won't be there, but I don't think you're going to see quantum level changes. This is going to be continuous improvement, slow, steady. Let's make sure that we see improvements from every change. And also remember, Lucky Friday hit record production this last year. It's going to be trying to beat your own record every year, it gets harder and harder.
Heiko Ihle: Fair enough. In your press release, it states that the costs at Casa or in the second half are going to be a little bit lower. But maybe just a bit of color where you expect to see us on a quarterly basis? And by then -- by that I mean sort of where should the analyst community model Q1, I guess, will be halfway through the quarter effectively tomorrow. And maybe even Q2 versus the remainder of the year in numeric terms and in quantifiable terms?
Russell Lawlar: Heiko I'll start and Carlos can jump in and supplement where necessary. But clearly Casa Berardi right now is both an underground operation and a surface operation, right? And so, mid-year what we expect is for that underground to come to a completion because at that point what we expect is that the surface mine will be able to fill the mill. And when that happens, we'll remove the cost from the underground and then from the surface perspective, the stripping ratio we're expecting that for that to come down as well. So, as such, we should see less expenses from the surface. What I would say is that we don't give quarterly guidance and we don't do that intentionally because as we do move through 2025, just like through 2024, things change and we'll manage those as they come. And so as a result, I would say from a quantification standpoint, we wouldn't be able to give you any quarterly numbers necessarily, just that we would expect for the cost to come down in the second half of the year as we see that underground come off and as we see the surface expenses also be reduced as we see the strip ratio and the waste solids come off. And frankly, those activities will be focused on the ore and the ore mine. Is there anything you'd like to add to that?
Carlos Aguiar: Yes, that's exactly right. The two conditions, least we need to meet in the second half of the year, which is the most significant is that the open pit is going to be capable to fit among the mill at maximum throughput.
Heiko Ihle: I'll try to question a touch differently then. If one goes to an open pit-only operation, how long -- how many quarters of impact do you think it has for the cost savings to be fully reflected in the numbers?
Russell Lawlar: So, I would suggest as we see the underground come off, if we see the underground come off in the middle of the year, there will be some carry-on expenses where we're determining how to go forward with the underground and that would be continuing to keep it open for exploration, et cetera. Those decisions will continue to make. So, I would say you'll probably see a fourth quarter that should be better than a third if you look at it from that perspective because there will likely be a few carry-on costs as it relates to transition in the third quarter.
Heiko Ihle: You got exactly where I was going with this. Thank you very much.
Rob Krcmarov: Thank you.
Operator: Your next question comes from the line of John Tumazos with John Tumazos Independent Research. Please go ahead.
John Tumazos: Hey, Rob. Good to see you onboard.
Rob Krcmarov: Hey John. Thank you.
John Tumazos: As you're aware, the state of Montana passed a Special Purpose Law related to your predecessor trying to delay the progression of Montana ore and Rock Creek. Have you had a chance to meet with the Montana officials? And what's the outlook for expediting those two projects? I've been admiring them my entire adult life.
Rob Krcmarov: Well, good question and you're right to admire them. I was immediately drawn to the Phenomenal Mineral Endowment £300 million of silver, £3 billion of copper at 0.7%. So, the size of the prize has really got my attention for sure. In terms of the updates, we're basically going through a permitting strategy at the moment. So, the Forestry Services Draft EIA for the Libya exploration project that's in the final week of public comment and there's been about 1,500 comments received. And really the next steps there's going to be 30 days for the Forest Service to respond to the comments then there's going to be a decision on the final VA issuance and if it's approved then a fund fee will be issued and that'll be followed by a 45-day objection period and a 30-day objection response period. And depending on the nature of any objections received by the Forestry Service, the updated plan of operations for the project it could be approved in Q3 2025. I haven't met with him personally, but obviously, we've had our team meeting with the regulators frequently. So, we're in that comment period at the moment John.
John Tumazos: Concerning Casa Berardi, there's a great deal of exploration activity as you know on the East-West trend maybe extending from Cochrane and Detour Mine in Ontario, all the way toward Fénelon, Wallbridge, other companies, Maple Gold Mines, straws different projects. Do you think in our lifetimes, there might be a major East-West Highway from Cochrane through the trend or North-South Highway to improve access, which would lower the cost of operation at Casa Berardi? Is it worth maybe idling the mine to wait for the better times when the neighbors catch up and it becomes a more thriving mining district?
Rob Krcmarov: It's an interesting concept and if we continue to hold Casa Berardi, we'd certainly welcome that outcome. I don't really know John, I don't know whether there'd be an infrastructure investment and who would do it and what the timing would be, but I certainly like the way you're thinking about it.
John Tumazos: If I could ask one more and I'm not trying to take a swipe at the planning a year or two ago, but the camp and fixed costs in the Yukon were well known before the Alexco buyout and the Wheaton Precious Metals buyout of the stream. Are the camp costs and the mining costs twice as much as expected? Also, the silver price is better, obviously, like $10 an ounce. So, it surprises me that we need 600 tons a day and that 400 tons a day can't do the job.
Russell Lawlar: John, again, I'll jump in and Carlos can supplement as well. But as we looked at the project, we knew that there would be a high fixed cost. I think that Rob had made the comment too that the ramp up been more challenging than we expected the infrastructure investment that we've made and continue to make. Frankly, there's been some things that we are doing that we didn't realize that we needed to do. So, I think from the cost perspective, that is one of the things that we could have dialed in a bit better.
John Tumazos: So the $10 an ounce good surprise on the silver prices?
Russell Lawlar: Keep in mind, we're still currently in that ramp up phase, right? So, we're still currently building our infrastructure, putting those types of things in. Certainly, the increase in the silver price is helpful. But right now, we're not even at that 400 tons a day. We have to get things in place for us to get there.
John Tumazos: Okay.
Operator: Your next question comes from the line of Mike Parkin with National Bank. Please go ahead.
Mike Parkin: Thanks guys for taking my questions. You kind of touched on it with the Rock Creek in terms of the huge mineral endowment. Rob, are you thinking, you want to kind of get your feet a little bit more wet on the exploration potential of the American portfolio of exploration projects before you kind of review any potential sale there? It just seems you've got a plethora of projects and potentially a phenomenal market to be selling into. Just your initial thoughts as you're a few months into the new role?
Rob Krcmarov: Yes, thanks for the question, Mike. We're definitely not going to be throwing the baby out with the bathwater here. I do intend spending some time down in Nevada in the spring and summer when the rocks are exposed and stuff like that. And so I am excited by some of the opportunities. Our exploration budget for this year, it is going to be constrained and let me just explain that a little bit. So, we've basically intentionally maintained our exploration spending below what I think are the industry averages for companies of our size. And this is really a deliberate strategy and it's not a limitation. We've got a pretty robust pipeline of quality targets across our portfolio and many of them are in Nevada as you point out. But we're taking a fairly measured approach to exploration investment and it really comes down to strategic capital allocation. So, you're aware that our mines have got really substantial existing mine lives and that gives us the flexibility to time our exploration programs. So, given our current financial parameters I guess, we prioritize the capital for other critical investments like Aquino Hill, but this doesn't diminish the quality of our exploration targets. I think that you know the key point is that our exploration drilling levels, they reflect careful capital allocation rather than any constraints on the opportunities and so as I said we've got numerous high potential targets and we'll systematically evaluate them as our capital priorities evolve, but it's really a simple matter of optimizing our resource deployment in the current environment. And I think that when we start generating more free cash flow, I think there's going to be a compelling argument for increasing our exploration investments and really advancing our best projects through stage gates and key decision points. So, yes, I'm quite proud of that some of the projects in our portfolio. There are others that we've already identified that we probably won't be keeping. But really the game as you know is to constantly upgrade the portfolio and not just have a cupboard full of dormant projects.
Mike Parkin: Great. And then just recently we've seen BC announced like a fast-track permitting process. So you're getting any kind of indications that Quebec might adopt kind of something similar through their government that could possibly be a tailwind for Casa with respect to the timeline there as the future open pit land?
Rob Krcmarov: I don't know the answer to that question, Mike. We are actually in the processing process of hiring a VP, Sustainability and that person has extensive permitting experience and so we'll have a better answer for you fairly soon.
Mike Parkin: Great. That's it for me guys. Thanks very much.
Rob Krcmarov: Thanks Mike.
Operator: I will now turn the call back to Rob for closing remarks.
Rob Krcmarov: Well, thanks everyone for joining us on this call and we look forward to keeping you updated with our story as it evolves next quarter. Thanks and have a good day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you and have a great day.